Operator: Greetings, and welcome to the Americold Realty Trust first-quarter 2020 earnings conference call. [Operator instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Scott Henderson. You may begin.
Scott Henderson: Good afternoon. We would like to thank you for joining us today for Americold Realty Trust first-quarter 2020 earnings conference call. In addition to the press release distributed this afternoon, we have filed a supplemental package with additional details on our results, which is available in the Investors section on our website at www.americold.com. On today's call, management's prepared remarks and answers to your questions may contain forward-looking statements. Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ from those discussed today. A number of factors could cause actual results to differ materially from those anticipated. Forward-looking statements are based on current expectations, assumptions and beliefs, as well as information available to us at this time and speak only as of the date they are made, and management undertakes no obligation to update publicly any of them in light of new information or future events. During this call, we will discuss certain non-GAAP financial measures. More information about these non-GAAP financial measures and reconciliations to the comparable GAAP financial measures is contained in the supplemental information package available on the Company's website. We also would like to note that numbers presented in today's prepared remarks have been rounded to the nearest million with the exception of per share amounts. This afternoon's conference call is hosted by Americold's Chief Executive Officer, Fred Boehle; and Executive Vice President and Chief Financial Officer, Marc Smernoff. Management will make some prepared comments, after which we will open up the call to your questions. Now I will turn the call over to Fred.
Fred Boehler: Thank you, and welcome to our first-quarter 2020 earnings conference call. We hope everyone on this call and their families are well. This afternoon, I will provide a brief overview of the temperature-controlled food supply chain and how it's been impacted by the COVID-19 pandemic. I will then discuss our first-quarter 2020 results and activity, and how these results were influenced by COVID-19. Mark will then review our quarterly results in more detail and discuss our balance sheet and guidance for 2020. After our prepared remarks, we will open the call for your questions. Let me begin by saying, I have never been prouder of the Americold family that I am today in the midst of the COVID-19 pandemic. Our global network of temperature-controlled infrastructure and the services we provide are an integral part of the temperature-controlled food supply chain. Our people are our greatest asset, and this has been underscored by our nearly 13,000 team members at 183 sites around the world, who have been working tirelessly day after day to help make sure grocery store shelves are stocked. Our infrastructure is absolutely mission-critical, and our team is truly essential and deeply proud of their role in protecting and providing access to food at this time. I am very grateful for their dedication and want to thank them for their incredible efforts. Further, the resilience of our diversified business model has never been more evident. Keeping our people safe and healthy has been and continues to be a priority. In addressing COVID-19, we took immediate action at the onset by mobilizing a global response team following the guidance of the CDC and enhancing our standard protocols to help protect our associates and safeguard the integrity of our supply chain. Since the start of COVID-19, we have invested in additional cleaning efforts and sanitation supplies at our facilities and staggered shifts and breaks as appropriate. We are taking the temperature of each person, including all associates, contractors and visitors who enter our facilities. We are making masks and gloves available to all. I'd also like to point out that although we are classified as essential workers in the supply chain, the nature of our work is naturally socially distant and very different than workers in the manufacturing line or a grocery store. While actual COVID-19 cases have not had a material impact on our business, we remain vigilant in limiting the risk to our associates in operation. The broader effects of COVID-19 have also added significantly more visibility to the food supply chain. So before we discuss results, I would like to take a moment to discuss the supply chain, starting with the consumer endpoint, the grocery store. A typical grocery store in the U.S. carries about a 30-day supply of food to meet normal consumer demand. These grocery stores are supplied by retail distribution centers, which also carry on average another 30-day supply of products. This inventory is generally owned by the retail establishments. Approximately 22% of Americold's warehouse revenue is generated through the ownership and operation of some of these retail distribution centers. These retail distribution centers receive product from major market distribution centers, which are located in major distribution hub such as Atlanta, Dallas and Northeast Pennsylvania and carry product from multiple manufacturers. Many of you on this call have been to our Tradewater site here in Atlanta, which is a great example of a major market distribution center. That facility and others like it stores customer product from all over the country and typically represents another 30-day supply of inventory. Major market distribution centers are supplied by production advantage sites, which are usually either attached or adjacent to food manufacturing facilities. Food manufacturing facilities are located across the U.S. in areas where land availability and local climate support individual commodities. They process and package the protein and the agricultural goods that are grown regionally. At these sites, product is brought down the temperature, preserved and stored until it is forward deployed. Americold's production advantage sites also carry, on average, 30-day supply of food and are dedicated to specific customers. The food supply at point of manufacture and the inventory at major market distribution centers is owned by the manufacturer. As we have discussed in the past, food manufacturers outsource 96% of their cold storage needs to companies like Americold. Approximately 76% of Americold's warehouse revenue is generated by food manufacturers. As you can see, at any given time, there is typically four months of goods in the supply chain spread across multiple nodes, many of which are owned and operated by Americold. We have one of the most diversified networks, both location- and product-wise. Please see Page 24 of our Q1 2020 supplemental for more information on this diversity. This diversity helps us withstand changes in food supply and demand. Before I go further, I'd like to address one portion of the food supply chain that has been in the press recently, the protein supply chain. For perspective, pork is 7% and beef is 3% of our business. In the same way that grocery stores need to adjust to remain open as essential businesses, protein manufacturers are working to overcome certain challenges at this time, as demonstrated by the recent executive order. They are an essential part of the nation's food supply chain, and we are critical partners with a vital infrastructure that supports them. As production ramps up at the plant that have experienced short-term shutdown, our facilities will continue to serve them. It is also important to note that our fixed commitment structure reduces volatility in our cash flows from potential temporary shutdown. Finally, as we have stated in the past, proteins are substitutable. For example, consumers will shift from pork to chicken as needed. Our incredibly diverse portfolio enables us to minimize volatility from these shifts. This example of the protein supply chain also relates to other areas of the food supply, such as agriculture. Typically, the general supply of food is not meaningfully impacted by the macroeconomic climate. So individual food items may be. People are going to eat, but what they eat and where they eat may change. Consumption is served through a balance of food service and retail, where food is either consumed via food service channels like restaurants, schools, universities, hotels, hospitals, sporting events, and government programs; and the remainder via retail at grocery stores, big boxers and convenience stores. In general, when the economy is good, heavier weighting goes toward the food service side. And when the economy isn't doing well, it shifts to heavier retail. With COVID-19, we've seen an unexpected and very rapid shift in food service to retail, creating disruption. The supply chain was tough, first with the consumer rush to retail as everyone stocked up. Retailers who were operating in ordinary course were challenged with responding to the almost instantaneous and significant shift of consumption happening through the channel as grocery stores were emptied. Please keep in mind that the supply chain was designed for steady-state and holiday demand, not an unexpected event like this, akin to a sustained hurricane hitting the entire country at once. This created a ripple effect as the retail distribution center surged to replenish the stores. Major market distribution centers surged to restock retail distribution centers, production advantage sites surged to restock major market distribution centers and food manufacturers had to adjust production for retail-centric products. Every part of our infrastructure was passed with excess activity to replenish these various notes in the supply chain. Food service products are now sitting longer because of reduced demand, but we are still preserving products and collecting the associated rent and storage fees. Retail is now taking up more space, but it's flowing through at a higher rate than normal. I'd also like to address e-commerce for a minute. There's a lot of talk in the market about growth of grocery e-commerce and the implications for temperature-controlled infrastructure. While we expect to see strong growth in e-commerce, that doesn't necessarily translate to outsized growth in the infrastructure to support it. E-commerce does not drive additional demand. It is simply another acquisition point for consumers. As we have also discussed previously, temperature-controlled product that is purchased online by end consumers to be delivered to their home is mostly serviced out of individual grocery stores. We know that grocers carefully select their store location, typically within 3 to 5 miles of the targeted population. As a result, the best places for grocers to serve last-mile logistics, including both home delivery and click-and-pick is the store itself. This is because transportation costs are typically the most expensive part of the supply chain. So utilizing space that is closest to the end consumer is the most advantageous. Increased e-commerce demand is pushing retailers to invest in automated solutions in the backroom of their stores for added efficiency. The supply chain and infrastructure requirements to get product to these stores remains unchanged. As we've seen with the surge in e-commerce orders as a result of COVID-19, the increased demand has been filled by the grocery store, which has been supplied by the retail distribution center or by a restaurant, which has been supplied by a food distributor. Both channels were supplied by major market distribution centers, which in turn were supplied by the production advantage sites and the food manufacturer. In summary, our diverse infrastructure is built to withstand shifts in food demand. Our incredibly large, diverse portfolio spread across multiple locations, multiple customers, facility types, product types and nodes in the supply chain enables us to minimize volatility driven by specific commodity disruption. Having one standard operating system across our fully integrated network enables us to service our customers efficiently regardless of shifts in demand. Professionalizing commercialization helps to stabilize our revenue streams and ensure customers have space when they need it. Our fixed commitment model has demonstrated a real benefit for our customers during this pandemic as they have rushed to find space and service as a result of the change in demand. Those with fixed commitments have protected space, ensuring efficient operations. Those without fixed commitments have faced challenges in obtaining space and in many cases were unable to secure optimal support. Now turning to our results. In the first quarter, our Global Warehouse same-store pool generated total revenue growth and NOI growth of 6.8% and 11.1%, respectively, on a constant currency basis. Our first quarter results reflect the impact of nationwide stay-at-home orders, which affected the business as follows. Our retail customers experienced a pronounced increase in consumer buying at grocery stores. As a result, throughput at our retail distribution centers increased significantly, resulting in higher services revenue at these sites. As I mentioned earlier, we also saw an increase in product through other nodes of the supply chain, mainly our major market distribution centers. Bulk product produced by our food manufacturer customers, food service and export channels remained in storage, being preserved at our production advantage sites and major market distribution centers. While we saw increased economic occupancy in this type of customer, the reduction in throughput resulted in lower services revenue. Additionally, we would note that the increase many of us are seeing in delivery to home and buy online, pick-up-in-store shopping does not meaningfully impact us. Once again, those methods of distribution are generally serviced by local grocery stores, and our infrastructure supports it accordingly. Let me now make a few points to provide further detail on our first-quarter activity. During the first quarter, all 183 of our facilities remain fully operational. While we have always operated in accordance with strict safety standards to ensure the quality of product flowing through our facilities, cleaning and sanitation processes were enhanced, and we put additional protocols in place to safely manage our labor resources, as well as those of our transportation partners. These incremental activities occurred late in the first quarter and are reflected in our operating expenses. We also continued to grow externally during the first quarter with the completion of our previously announced acquisitions, including Newport Cold, Nova Cold Logistics, and a 15% interest in a strategic joint venture with Brazilia-based SuperFrio. Regarding our development pipeline, we delivered our expansion project in Columbus, Ohio, early in the first quarter and are now fully operational. With respect to our ongoing developments in Savannah and Atlanta, we can report that construction serving the food supply chain in the state of Georgia is considered essential, and so we have been able to continue at both sites. Savannah has a temporary certificate of occupancy, and we have started operations on time and on budget to support certain customers. At our major market project in Atlanta, we have remained on plan with construction, and the demand pipeline remains strong. Finally, due to COVID-19, we are delayed on our expansion project in New Zealand due to the government shutdown of all construction activity. We are hopeful we will restart in the second quarter. In the midst of this pandemic, our food manufacturer customers and our retail customers want to make sure they are adequately prepared from a supply chain perspective through periods of dislocation. As a leader in temperature-controlled storage with an integrated network, we are uniquely positioned to support them in this effort. At this time, our development pipeline remains robust. As we look ahead, we believe market conditions overall remain favorable for our business. First, in the near term, we expect that stay-at-home orders, state reopen plans and social distancing guidelines resulting from COVID-19 will continue to influence our business. Our first-quarter results show the effect of families stocking up on food to fill their freezers, much like one would see in preparation for a big storm or a hurricane. They also reflect the impact from reduced food consumption at restaurants, sporting events. schools, universities, and hotels, which ultimately resulted in products sitting and being preserved in our sites. In the second quarter, we have seen a slight sequential slowdown in grocery activity, but still elevated from normal levels. Thus, we are starting to see a leveling off in the second quarter as it relates to our retail customers. Since COVID-19, some restaurants continue to operate by providing curbside pickup and drive-through service. As some states slowly open, we will see how consumer behavior responds as it relates to food consumption in the food service channel. Second, we want to note that any benefit we typically see from Easter was masked by the increase in food shopping due to COVID-19, in terms of its benefit to our business in the second quarter. Finally, we want to remind you that food manufacturers and retailers are still working hard to adjust to this unprecedented situation, and we will work diligently to continue to support them. Over the long term, barriers remain high for new development, while customer relationships and an integrated network remain more important than ever. Our decades-long investment in technology, process and infrastructure continues to be crucial to our ability to serve current and prospective customers. Our customer-centric focus and leading supply chain innovation, combined with our portfolio that has the right assets in the right location, will serve us well as we seek to deliver consistent and profitable growth. In a post-COVID-19 world, we believe our customers and ultimately their customers will continue to focus on building and maintaining resilient supply chain. Americold is well positioned for this environment. Before I turn the call over to Marc, I would again like to thank our associates for their dedicated work during this difficult time.
Marc Smernoff: Thank you, Fred, and good afternoon, everyone. Today, we'll provide updates on our actual performance as well as certain metrics on a constant currency basis. We will also highlight areas of our business that were impacted by COVID-19. Let me begin by echoing Fred's comments, which bear repeating. Our results this quarter captured the impact of increased overall activity by our two largest customer types, food manufacturers and retailers. We are focused on being strong partners to our customers as we provide mission-critical infrastructure that enables them to adapt their supply chains through this pandemic. Both sets of customers were responding to elevated end customer purchases, driven by COVID-19 and stay-at-home requirements across the country. This activity was above what we typically see in the first quarter. For the first quarter, we reported total company revenue of $484 million and total company NOI of $135 million, which reflects a 23.1% increase and a 37.2% increase year-over-year, respectively. Core EBITDA was $104 million for the first quarter of 2020, an increase of 46.5% year-over-year. This was driven by our 2019 and 2020 acquisitions and solid growth within our core portfolio, including increased activity due to COVID 19. Our core EBITDA margin grew by 343 basis points to 21.5%. For the first quarter 2020, we reported net income of $24 million compared to a net loss of $5 million for the same quarter of the prior year. Our first quarter core FFO was $60 million or $0.29 per diluted share. Our first quarter AFFO was $67 million or $0.33 per diluted share. As a reminder, the full definition and reconciliation of core EBITDA, core FFO and AFFO to reported net income can be found in our supplemental. For the first quarter of 2020, Global Warehouse segment revenue was $381 million, which reflects growth of 31.6% year-over-year. Global Warehouse segment NOI was $127 million, which reflects growth of 39.6%. Global Warehouse segment margin was 33.3% for the first quarter, a 191 basis point increase compared to the same quarter of the prior year. This NOI growth and increase in margin was primarily due to improvements in our core business, accretive acquisitions, increased customer holdings due to COVID-19, same-store economic occupancy growth and the benefit of the Americold operating system. These results were partially offset by the strength of the U.S. dollar and the significant incremental expense we undertook to address COVID-19. These included sanitation, higher labor costs, and added certain inefficiencies due to social distancing, staggered break schedules, and other changes to processes. At quarter end, $258 million of our annualized rent and storage revenue was derived from customers with fixed commitment storage contract, as compared to $251 million for the fourth quarter of 2019 and $222 million for the first quarter of 2019. Our recent acquisitions have a lower percentage of fixed commitment contracts as a percent of rent and storage revenue. For the first-quarter 2020, a 40.1% of rent and storage revenue was generated from fixed commitment storage contracts on a combined pro forma basis, which is a 50-basis-point decrease over the sequential quarter. We view this as an opportunity as we bring these acquisitions onto Americold's commercialization standards. As of March 31, 2020, our global portfolio consisted of 182 facilities, five more than we have reported at the end of the fourth quarter of 2019, due to the acquisition of Newport Cold and Nova Cold Logistics in the quarter. Our total facility count includes 172 facilities in our global warehouse segment portfolio and 11 facilities in our third-party managed segment. Now I will turn to our same-store results in the global warehouse segment, which reflects 136 facilities. As a reminder, a facility is counted as same-store if it meets our definition at the beginning of the year. For the first quarter of 2020, our same-store global warehouse segment revenue was $292 million, which reflects growth of 5% year over year and 6.8% on a constant currency basis. Same-store global warehouse NOI was $97 million, which reflects growth of 9.8% year over year and 11.1% on a constant-currency basis. Same-store global warehouse NOI margin increased 147 basis points to 33.3%. For the first quarter, same-store global rent and storage revenue grew by 4.4% year over year or 5.7% on a constant currency basis. This was driven by increased customer activity due to COVID-19, increased economic occupancy from higher commodity holdings and a slowdown in food service activity and exports. This was partially offset by the impact of the strength of the U.S. dollar. Our same-store economic occupancy was 81.8%, which reflects an increase of 337 basis points from the prior year. Our same-store global rent and storage NOI grew by 6.2% year over year or 7.3% on a constant currency basis. Same-store global rent and storage NOI margin increased 117 basis points to 68.8%. The NOI growth and margin expansion was a result of the revenue metrics cited above. Additionally, this was driven by continued portfolio management, efforts to grow our fixed commitment storage contract, disciplined cost controls through the Americold operating system, and the impact of currency translation on costs in our international segment. This was partially offset by higher property taxes, property insurance, and increased sanitation costs from COVID-19. Same-store Global Warehouse services revenue for the first quarter grew 5.4% year-over-year or 7.5% on a constant currency basis. This revenue increase resulted primarily from increased customer throughput due to COVID-19 and a favorable mix, which shifted late in the quarter toward higher grocery activity. This generated 4.7% growth in our same-store warehouse services revenue per throughput pallet on a constant currency basis. As Fred previously mentioned, any benefit we would have seen from the Easter holiday was masked by higher grocery activity. Our same-store Global Warehouse services NOI was up 51.5% year-over-year or 54.7% on a constant currency basis, again, driven by increased customer activity, including a higher use of grocery-related value-added services. While the late quarter surge in volume and implementation of social distancing guidelines did cause inefficiencies, we attribute this growth to cost control embedded within the Americold Operating System, disciplined underwriting and more favorable customer mix. Finally, same-store warehouse services NOI margin was 6.4% for the quarter, an expansion of 195 basis points, driven by the same factors. I would also note that while this pandemic continues to evolve, we did not see a material increase in our health care costs related to COVID-19 in the first quarter. In the Global Warehouse segment, we had no material changes to the composition of our top 25 customers, who on a pro forma basis account for approximately 58% of our Global Warehouse revenue and who have been with us on average for over 30 years. Our recent acquisition activity has enhanced our wallet share of our key customers while providing further diversification. Additionally, our churn rate was approximately 3.4% of total warehouse revenue. We are proud of our customer service during this COVID-19 pandemic. Corporate SG&A totaled $37 million for the first quarter of 2020 as compared to $31 million for the comparable prior year quarter. This increase is primarily a result of the SG&A absorbed with our recent acquisition, net of realized synergies and additional investments made to support our expanded development pipeline. Additionally, this was driven by increased stock compensation expense in additions to our executive management team. Now let me update you on our development and acquisition activity. We spent $30 million in the first quarter on expansion and development capital, mostly related to spending at our Atlanta major market expansion and our Savannah, Georgia new build. We will officially deliver our Savannah new build in the second quarter and have started inbounding products. At our automated expansion project in Chicago, we have seen strong demand and have signed up customers for over 80% of space. We'll be onboarding them throughout the remainder of the year. The automation ramp-up has slowed because of COVID-related travel restrictions of our European-based automation partners. However, we do not expect this to materially change the timing of stabilization. Finally, from a demand perspective, we are similarly well positioned at each of the 3 expansion projects we acquired as part of the Cloverleaf acquisition. As a reminder, our supplemental has additional disclosure on expected yields and target stabilization dates for these projects. As Fred mentioned, our expansion projects for our major customer in Auckland, New Zealand, we were substantially on hold during the first quarter. We are assessing the impact of this COVID-19-related delay and will provide updates in the future. Additionally, in the first quarter, we received AUD 64.5 million from the sale of our land in Sydney and associated carrying costs. Finally, during the quarter, we completed previously announced acquisitions of Nova Cold Logistics in Canada and Newport Cold in Minnesota. Additionally, we closed our strategic investment in a joint venture with Brazil-based SuperFrio. Now turning to our balance sheet. We believe that maintaining prudent leverage, access to multiple sources of capital, and ample liquidity is important at any part in the cycle, but especially in the current environment. We are committed to maintaining a strong flexible balance sheet as we finance our business and growth plans. As of March 31, 2020, our total debt outstanding was $2 billion, of which 77% was in an unsecured structure and 86% was at a fixed rate. Our real estate debt is the weighted average remaining term of six and a half years and carries a weighted average contractual interest rate of 3.9%. At quarter end, we had total liquidity of approximately $1.2 billion, consisting of cash on hand, revolver availability and $135 million of outstanding equity forward. We had no activity on our ATM program during the quarter. Our net debt to pro forma core EBITDA was approximately 4.2. Finally, during these uncertain times, we have maintained our day sales outstanding, or DSO, as our customer cash collections remain strong. Our DSO has been consistent from year end to the end of quarter 1 and now in April. During the quarter, we completed the refinancing of our unsecured credit facility as we expanded its capacity to USD 1.225 billion and CAD 250 million. We also tightened the credit spread on the revolver and term loan by five basis points and enhanced our flexibility by improving financial covenants and extending final maturity on this facility until 2025. Now I'd like to take a moment to discuss our outlook for 2020. Our first-quarter results were certainly driven by elevated customer activity in response to COVID-19. Let us remind you that we look at our business on an annual basis. There is some uncertainty related to the timing of states reopening plans and the resulting consumer behavior. However, we believe that food consumption will remain fairly constant, and we continue to benefit from the scale and diversity of our portfolio, as well as our strong market share. At this time, we are maintaining our AFFO per share guidance in the range of $1.22 to $1.30. Please refer to our supplemental for updates on certain components related to tax and currency translation rates embedded in this guidance. Please keep in mind that our guidance does not include the impact of acquisitions, dispositions, or capital markets activity beyond which has been previously announced. Now let me turn the call back to Fred for some closing remarks.
Fred Boehler: Thanks, Marc. The events of the past few months have been unprecedented, and uncertainty remains high as major sectors of the economy remain significantly slowed down. However, at Americold, our infrastructure has been proven to be essential. Our business has demonstrated its resilience, and our team of associates are proud to be important members of the global food supply chain. They have risen to the occasion to support our customers with incredible dedication, and I cannot thank them enough for their tremendous efforts. Thanks again for joining us today, and we will now open the call for your questions. Operator?
Operator: [Operator Instructions] Our first question is from Dave Rodgers from Baird.
Dave Rodgers: Thanks for all the details on the quarter and the last couple of weeks. I wanted to go back to the temporary production shortfalls or your customer shutdowns that we've been reading about in the paper and the threads you tried to address. I guess a couple of things around that. I would say the first is that you did talk about how you have contracts in place that would help mitigate some of the rent on storage. So can you tell us on the protein side how much maybe that 25% of your business is in a fixed commitment? And then maybe a broader question around that is, how would that impact your services business if you were to see those shortfalls coming through the channel?
Fred Boehler: Yes. Thanks, Dave. Yes, most of our protein, and I think we've talked about this before, most of our plant advantage sites, sites that are connected to manufacturer funnel across the street or such as that, plants that are dedicated, the vast majority of that business is on a fixed commitment. So they're paying for the space regardless of the volume. So that's one place in our supply chain where you can count on, because that space is dedicated to have fixed commitments. So to your point, yes, the real impact that we feel is throughput, which, as you know, is kind of our lower-margin business, if you will. So that would affect the services side of the house. Again, plant shutdowns, I mean -- look, I think we have experienced a couple of plant shutdowns, but not nearly to the magnitude that some people are stressing it out there in the news. So many of these shutdowns that have been in the press literally are plants that were down for one day or for two days max. That literally has -- that's a blip and has no impact on us. As a matter of fact, a lot of these plants tend to shutdown to do maintenance and cleaning and such at some point during the year. So the plants that are shutdown right now, that are getting ready to ramp back up as a result of the executive orders, I guarantee what they're doing right now in those plants in addition to the cleaning is to take care of any maintenance and those types of things that ordinarily they might do at another point in time of the year. So bottom line is very little impact to us. Again, in those particular plants, there is the art of substitutability where people are going to -- people need protein. So if pork is not available or beef is not available, they're going to switch to fish or chicken. So we might see a minor hit of services in one plant, but we pick it right up in another. So...
Dave Rodgers: Great. And then a follow-up, if I could. Just, Marc, you mentioned health care costs in the first quarter and that you saw no material increase from COVID-19. As you moved into the second quarter and we think about employee costs, things like compensation, overtime, additional healthcare costs as the virus spread, do you have any comments about kind of the last five weeks, I think, would be really helpful as well?
Marc Smernoff: Yes. Look, as we look, as Fred said, we definitely witnessed higher labor costs because we're seeing higher throughput to support that business. Obviously, with the surge, we're definitely not as ideally efficient as we'd like to be, but we're really focused on making sure we can serve our customers and get that product out and through the supply chain, as Fred described in his prepared remarks. All that being said, overall, I think you saw it through our business, we've been able to maintain or grow our margin there. And on the healthcare front, the interesting phenomena there is, with many of these stay-at-home orders, we're actually seeing a reduced usage of some typical healthcare benefits as people have not been able to go to the doctor in the ordinary force. So we haven't seen regular healthcare costs up. So we're not expecting any major moves in healthcare as we move throughout the year.
Dave Rodgers: Great thank you very much.
Marc Smernoff: Thanks, Dave.
Operator: Our next question is from Nate Crossett from Berenberg. Please proceed with your question.
Nate Crossett: Hey. Good evening, guys. Hope you're doing well. Obviously, a strong quarter from a metrics perspective, but you noted that you're expecting the demand to normalize. So I guess my question is, when we do normalize, do we go back to levels, such as occupancy that we saw pre COVID? Or do you expect some customer behavior to permanently change? And if it does, what does that look like?
Fred Boehler: Yes, boy, I'll tell you. Week to week, you're given different inputs. And I think a lot of this is really going to be dependent on how states reopen, how quickly consumers kind of switch their habits, how fast they kind of flood the restaurants, for example. That's really still kind of up in the air. If you think about our first quarter, it was very similar to our fourth quarter for us. Right? I mean, if you kind of compare par metrics, there was just a massive rush to retail. I like it and I used the phrase it like a hurricane. I'm an ex grocer, and I know the impact that hurricanes have on a marketplace for a short period of time. Everybody stocks up. And then that next week, nobody is shopping, right, because they already stocked up. So we've got to kind of watch how those consumer patterns. This is obviously far more complex than a typical hurricane, if you will, because it's sustained, and it's going to take a while to recover from. So it's really hard to predict exactly how it's going to balance out. I guess the point that I would make, though, is given the resiliency of our network and the diversification of our portfolio, we're going to easily be able to adjust on the. It won't be abrupt like what we saw in the first quarter. It will probably be more even-keeled and even-paced. We expect retail to be up at least for the next several months because we still think that retail will get a predominance of the buy versus pre-COVID. But when that levels back out to pre-COVID levels? If I had that answer, I'd -- yes.
Nate Crossett: Well, I just, I mean, you mentioned that 30-day supply across the supply chain a couple of times. So I'm just wondering if that number goes up after this, so people kind of provision more forward?
Fred Boehler: Yes. Actually, there's 30 days of supply of inventory at all four nodes. So at any given time, there's about four months of inventory. So you're right, there was a lot of reports in the press about food shortages right after the spike of emptying out the grocery stores. People thought we were out of supply. No, it was just -- it was a massive tug and the whole supply chain has to react overnight without warning to replenish the forward node. So there's four months of inventory at any given time in the supply chain. There might be specific items that run out, that run shorter, but there's a lot of inventory. I have a lot of full warehouses. So I don't expect that there's going to be a huge surge. That said, the manufacturers and the retailers are making those decisions. Some will probably be more conservative and might add a little bit more inventory. Others may say, hey, four months of inventory is enough, we're good. So unfortunately, we don't control that. But my prediction and being a supply chain guy, I would say that after we clear the deck and COVID is well behind us, I would expect things to kind of return back to normal.
Nate Crossett: Okay. That's helpful. And then if I could just quickly ask about dairy. Is there anything going on there, because there's also been kind of reports of farmers dumping milk and stuff? And I just want to know if that would have any effect.
Fred Boehler: Yes. Not a strong impact on our supply chain. We do have some dairy that flows through and cross-stocks, but it's pretty minimal. Obviously, the stuff that's going to retail is still cross-stocking through and higher volumes. I think the dumping that you're seeing is because of their lackability to sell it through some of their other channels, which we wouldn't normally be involved in.
Operator: Our next question is from Ki Bin Kim from SunTrust.
Ki Bin Kim: Could we just maybe take a step back for a high level? When did you guys start to see the benefits of people stockpiling food? And if you can kind of just paint a picture for us and how that played out till May 7?
Fred Boehler: Yes. I mean we actually had two phenomenons going on early in the first quarter. Speaking of protein, protein was amping up supply with the intention of exporting and so -- mainly to China. And obviously, this hit China first and all the shipping lanes slowed down. We couldn't get containers. So export kind of got jammed up and just stayed in inventory. So we started obviously receiving benefit very early on because of the extra holdings associated. And then it was kind of that late first quarter period of time, maybe three weeks before the end of the quarter, where you really start seeing some of the rush to the grocery stores. And it kind of happened in two big cycles, right? You had the early people that jumped in and were in panic mode right away. And when did -- and then things started getting serious, and we kind of had another surge, right? Now it's kind of evened out, because people have been putting limits on different types of products that you can go after, and therefore, we don't see as much of the surge in the tug that you saw in those very early stages. So we continue to see high demand, but there was a drop-off in retail right after that surge. And they got the grocery stores replenished. And now it's kind of leveled off. And what we're seeing today is more leveled off retail volumes, albeit higher than pre-COVID volumes.
Ki Bin Kim: Okay. And you mentioned in your remarks the difference between retail that goes through the supermarkets and food service for the restaurants and other venues like that. What is the split in your portfolio? Or how much money you make on retail versus food service? And generally speaking, like what segment is more profitable?
Fred Boehler: Well, I think, two things. Number one, remember, the vast majority of our income, 76%, is by the food manufacturers. We really are kind of agnostic as to whose truck we're putting it on. So we don't care if it's Cisco's truck or Kroger's truck. Right? So we're agnostic to the vast majority of that. We don't really care which direction it's going. Now I will say that we actually run retail distribution centers, we don't actually run food service distribution centers. So we do get a little extra benefit associated with the retail distribution centers from a standpoint of throughput, albeit lower margin volumes like retail, moves a lot of cases. Right? Over the course of the year, we moved 750 million cases through retail. So we do get a little extra benefit associated with that retail bond.
Ki Bin Kim: Okay. And if I could squeeze the third one in here. Tying that all together, I mean you obviously had a really good first quarter. You talked about the throughput volume leveling off, but still higher than pre-COVID levels. So I'm assuming that means higher than last year. Your same-store NOI was 11%. Strong same-store revenue. How come guidance does not change?
Marc Smernoff: Look, I think the big picture is that we're reiterating guidance in this environment. What we would say is, when you look across the full year, and we do really focus on the full year, overall food consumption isn't changing. So even though while we saw a slight acceleration in this first quarter, as people procured more, it didn't mean they necessarily consumed more. So when you think about our guidance over the full year, and just as Fred mentioned, we're a little bit agnostic as to what channels. But on an overall basis, for the most part, people aren't eating more as a result of COVID-19.
Fred Boehler: Right. So the big question to play out, which we just can't answer at this point, even just like we couldn't predict that this was going to happen in the first quarter, is you don't know if personal preferences have changed. Right? So we talk about core consumption not changing over the course of a full year, but which calories you're consuming is anybody's got. Right? So I joke and say, I probably eat more frozen pieces than I care to share in the last few weeks. I don't know if that's going to be a permanent shift with somebody or something and say, "Hey, I love those pieces, I'm going to buy more frozen pieces in the future, or somebody might say, I'm sick and of that frozen pieces, I'm going to take a break, and I'm going to eat something else. It's just really hard to predict exactly what that flow is going to look like. So again, as Marc said, we're confirming our guidance, we're not pulling our guidance like most people are. We're excited about the business. We're demonstrating the resiliency associated with it. But there's just a lot that can happen with the way that these reopen plans occur and with the consumer consumption habits that we just can't predict right now. So we need a little bit more time to get a better understanding of that.
Operator: Our next question is from Manny Korchman from Citi.
Manny Korchman: If we think about sort of the other sectors, we talked about tenants asking for rent relief. You talk about your food service customers who are keeping their product with you, but their businesses may be closed or suffering from lower revenues. Have any of them come to you and said, "Yes, we've got this fixed contract with you, but you know what, we just can't pay it right now. Help us out, cut rents, let us defer," anything along those lines?
Fred Boehler: As we said with our DSOs, our days sales outstanding have remained constant from last year through Q1 and through April. So we have not seen any slowdown in cash collections. Clearly, our customers, even though many restaurants are open for some sort of takeaway, they may not have done the regular sit down business that they've historically done, but there still is some activity flowing. It's just slower than what was historic norm going into the food service channel. I think the other thing to remember is where maybe an industrial landlord, for example, might be more impacted by that, because whoever they're leasing it to may have ceased manufacturing operations, their processing operations or distribution, right, depending on who they were. But in the temperature control sector, remember, even if the product is not moving, we're still providing a service, a very valuable service. We're preserving their goods. Those goods can sit in our freezers, because they're held at the right temperatures for a long period of time. So we're still providing value, we're still protecting their assets during these difficult times. So -- and the other thing to remember is the vast majority of our customers serve both channels. So they're seeing a shift from food service to retail, focusing more energy on retail. There are folks out there that are primarily dedicated to food service. Most of those are pretty sound, healthy companies. There might be pockets of smaller guys. But like I said, we haven't really faced any of that and don't expect it.
Manny Korchman: How much of your portfolio is exposed to sort of other industries that are going to take longer to catch up and may not be necessarily replaced by their usage? I'm thinking something like the airlines or the cruise ships or casinos where it's less of, are you eating at home, are you meaning out, sort of maybe a third channel of consumption?
Fred Boehler: Yes. Again, those channels are typically serviced out of a food service provider, like a Sysco or U.S. Foods or somebody like that. They are manufacturers' customers. So we ship products to Sysco and U.S. Foods. They may have a slowdown. They may see a slowdown in shipping to the airline from there or somebody else. But they'll sell those same types of goods to restaurant channels and others. We've even seen stories of some of the food service guys shipping both chicken and beef products and that type of thing to grocers. And then the grocer -- the butcher itself is cutting it into different retail-friendly types of packaging and then packaging right there in the back of the store at your local grocery store. So we expect those channels to keep on going. Again, they adjust and they adapt and find other ways to consume.
Manny Korchman: And, Marc, on guidance, it looks like your assumptions for income tax expense came down and guidance was maintained. I guess that would mean that there was an offset somewhere else in sort of operations or elsewhere? Was it just a matter of it all being within the range and chose not to move things around? Or is there something else we should be thinking about in terms of where your guidance landed with the 2 items that you did point out in the release sort of going and get the other way?
Marc Smernoff: Yes. Two things. Just when you look at the overall guidance altogether, you had your current income tax expense come down, to actually have kind of the deferred piece come up in that range, which is an offset on overall taxes, so that factors in, as well as some of the FX headwinds. So clearly, the U.S. dollar has strengthened against most of our international ops. So that's put a little bit of headwind in the overall results. But all that being said, when we pull it all back together, we're comfortable reiterating our full-year guidance.
Manny Korchman: Thanks, again.
Operator: Our next question is from Michael Carroll from RBC. Please proceed with your question.
Michael Carroll: Yes. Thanks. Fred, so I don't know if this is too difficult to do or not, but can you quantify the surge of activity you saw in March versus today? I mean obviously, the earlier surge pushed the 1Q '20 results, noticeably higher. I mean should we expect that this still elevated pace is going to continue to drive elevated organic growth as we move into 2Q?
Fred Boehler: Look, Mike, I mentioned on the other question, it's really hard to predict exactly how things are going to pan out. But again, Q1 was unprecedented and the fact that there was this made peer service that occurred, that surge did not happen in Q2. Right? That surge kind of leveled off. It dropped off after the surge and then kind of came back up to a steadier level, albeit higher than from a retail perspective, higher than pre-COVID. But that surge, again, it's very much like a hurricane. When hurricanes predicted to hit South Carolina or North Carolina or wherever people rush to the store, they buy everything in the store, and then their refrigerators and freezers are full. And so they don't need to go to the store the next week. So they don't buy. And then they start to consume and then they kind of come back into their normalized buying habit. So I know that's a microcosm, but hopefully, that helps to explain kind of that binge and purge type of thing that happened. It's yet to be determined, like I said, with the pizza example. It's yet to be determined how consumer behavior is going to change in terms of what they consume as a part of their caloric intake. So hopefully, that helps. I mean it was just as every single facility like I described in the press release is every facility was pressed immediately and unprecedentedly to respond to the next node in the supply chain. That's what you saw happen in the first quarter.
Michael Carroll: Okay. And then, I mean, how should we expect the environment to be normalized? Is it just typically people having their freezers filled up and they don't need to go grocery shopping anymore? Or I know you kind of mentioned this a couple of times in the Q&A, was it really the restaurants opening up, I guess? Since you have more grocery DCs than food distributor DCs, is that a big driver? So as long as we're in the stay-at-home environment, you're going to continue to see pretty strong activity through your system?
Fred Boehler: Well, sure. If the restaurants absolutely do not open, right, then that whole -- that balloon exercise that I do where the caloric intake, if it's 50-50 pre-COVID, you're sweeping the restaurants closed, all that consumption needs to be fulfilled via the other channel, which would be retail. So of course, if the restaurants are closed, we see benefits because of the retail distribution centers seeing more throughput, albeit that's services revenue, right. The fixed commitment for those retail distribution centers is in existence regardless of the amount of volume that's going through us. So the real only lift is the retail services revenue, right? So again, as this balances back out and goes more to food service, we're just loading up food service trucks instead of loading retail trucks, and we'll see a dip in volume from the services side and retail, and we'll see more throughput going to the food service distributors.
Operator: [Operator Instructions] And our next question is from Joshua Dennerlein from Bank of America.
Joshua Dennerlein: Appreciate all the color in the beginning on the supply chain and the detailed commentary. I guess I'm curious to kind of think through where maybe your margins are going, going forward? Maybe on the service side, I'm not sure, but you really touched on labor. Did you guys have to tap like temporary workers at all in the first quarter or over time that might normalize out in 2Q or going to need -- -- have you started to see that in 2Q if any workers have gotten sick at all?
Fred Boehler: Yes. So we've had fantastic attendance and very little turnover. So part of that is because we leapt on this early and protected our employees. So we haven't had those types of issues with the people. It's very similar to the fourth quarter. When we go into a fourth quarter, we're building up for the season, we have to bring in temporary workers, that type of thing to be able to support the business. The difference is, during that time, we have the time to train them up and get them into a highly productive state. In this particular phase, because the ramp was so quick, so immediate, we did a number of things. We moved people around between different facilities that felt the impact faster than other facilities. We went and hired a lot of people we worked with. A lot of people like Great Wolf Lodge, an example of an employer that had to unfortunately shutdown a lot of their operations. We worked with them. Their CEO and I aligned, and we got our HR teams together, and we were able to take people that work near one of their facilities, and we were able to employ them at one of our facilities. The great news is a lot of them were pre-trained. So we were able to bring them in pretty quick and get them in. But yes, we went ahead and we got extra labor. We worked over time. We did all of those things. So no doubt, labor cost was higher than our normal labor cost. But as you can see, with that volume going through our full boxes, we converted it.
Joshua Dennerlein: Okay. Yes. Well, impressive. And then I don't think we touched on it, development. I believe that was going to start leasing up after the holiday season. Where does that kind of stand on the NOI J curve has started generating positive NOI? Or is that something we'll kind of kick in later in the year like 2Q, 3Q?
Marc Smernoff: Yes. As we said, we're really pleased. We've seen very strong demand for that site. And as we mentioned in the prepared remarks, we have demand for over 80% of the space in that site, and that demand will be ramping on through the rest of the year. So we are performing consistent with our outlook for that site.
Fred Boehler: Yes. Our goal, just to remind people, the goal is we expect that building to be fully stabilized from a run rate perspective in Q1 of next year.
Joshua Dennerlein: Thanks, guys.
Operator: And our next question is from Mike Mueller from J.P. Morgan. Please proceed with your question.
Mike Mueller: Yeah. Hi. Let me see, just two quick ones here. One, Marc, can you talk a little bit about where you see the spot borrowing costs? And then just in terms of the margin improvement for the quarter, the up 130, can you have a sense as to how much of that was directly tied to COVID?
Marc Smernoff: Yes. So two things. On the spot borrowing costs, as you saw, we actually did refinance our overall credit facility in the quarter, and we're able to actually tighten our overall credit spread by five basis points. So I think, especially, people have really seen, as Fred mentioned now, just the strength and the resiliency of the platform, especially through all these cycles. So not only we think our lending community really saw that. We've also obviously been approached by others of our letters in our longer-term paper. We have also expressed interest should we need to tap that market, but they'd be available and there to support us. If you look at our overall business and you think about the split and the overall growth, especially in the same-store, roughly the 11% growth, we think about half of that is related to the additional activity from COVID relative to the ordinary course of the business. So when you think about kind of our full-year guidance, obviously, we've been performing very well. And when we look at our recent trends of Q1 results, kind of Q1 over Q1, you'll see that roughly it's about 5% to 6% typically. And so I'd say, overall, this year from the NOI perspective, about half of that over 11% is reflective of COVID related growth.
Mike Mueller: Thank you.
Marc Smernoff: Thanks, Mike.
Operator: And our next question is from Bill Crow from Raymond James. Please proceed with your question.
Bill Crow: Just taking a couple of the topics that I've already been broached and maybe restating a little bit. The 30% that goes out to food service, it goes to U.S. Foods or Cisco. How worried do you have to be about the underlying health of their clients, of the restaurants that are out there that are closed?
Fred Boehler: Yes. That's very little, not that there, but very little. At that point, that's their transaction. By the way, food service, it's not 30%. I don't know where that number is from. But if we say pre COVID, I would estimate -- it depends on who you talk to, call it, 50-50, right? Half our volumes that food manufacturers make goes through retail, half goes through food service. Again, what we saw was the squeezing of the balloon where more is going to retail than food service at this point. But the bottom line is, and I think I mentioned this, those food service guys are getting creative and figuring out who else they can sell to, right? So they're actually selling to retail grocery stores and finding other avenues to be able to ship that product to. So I can't necessarily speak to the health of their customers in some of these restaurant chains and such, but we're really kind of agnostic to that.
Marc Smernoff: And I just want to just remind everyone, when you look at our customer base, roughly 76% is focused on food manufacturers that typically service both channels. And we've seen, as Fred mentioned earlier, then shift towards the retail-centric product in this environment. The other 22% is predominantly retail.
Bill Crow: Okay. And then any comments on the poultry side of things? That -- I think we've talked about beef and pork. We haven't said much about poultry.
Fred Boehler: Yes -- no. I've got a lot of full warehouses of chicken. So -- I mean, look, I think the protein industry as a whole is healthier than what's being for trade out there. We have lots of inventory across the enterprise. Again, I applaud what the grocers are doing, and they're making sure that we don't have another toilet paper fiasco on our hands by doing the limits early on based on the news, but the supply is slowing. The product is blown across all those protein categories. Again, we might see spot short-term shortages, if you will, in terms of throughput happening. But I think this executive order gets everybody back to work and I don't think we'll really feel it.
Marc Smernoff: The other thing I want to say while we talk about these percentages, often that business is spread across multiple sites and supporting multiple manufacturing nodes. And one of the things, I think more of the news has been around the beef and pork sites that have seen higher instances of COVID. But even if you look across our network, we service multiple manufacturers across multiple nodes. So the business is extremely diversified even within those categories. That's right.
Operator: And we have reached the end of the question-and-answer session. And I will now turn the call over to Fred Boehler for closing remarks.
Fred Boehler: Thank you. And again, thanks for joining us tonight. I know it's a busy week of earnings here. Again, I just want to end with, we're very proud of what we've been able to accomplish, very proud of the 13,000 associates that we have around the world. They're really doing a great job out there in servicing all of us, quite frankly, as consumers. I think that if you look at our business, the things that we've been touting for the last couple of years, I think, really rang true as we're going through this crisis. And that's the resiliency of our business due to the diversification of our portfolio and the commercialization of our business and the way that we operate in a consistent manner with the Americold Operating System. So again, I think these things have never rang truer. So again, excited about where we're heading. I know it's difficult to predict where we're going, but we were able to confirm guidance. I think that's a good thing in this environment where a lot of people are pulling that and we're growing it. We're in a good state, and we'll watch it closely and see how this business transpires with consumer behavior through the rest of the year. So thank you. Have a great evening. Stay safe. Be well.
Operator: And we have reached the end of conference. You may disconnect your lines at this time. Thank you for your participation.